Operator: Good day, and welcome to the Sharecare Second Quarter 2022 Earnings call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Evan Smith, Senior Vice President of Finance and Investor Relations. Please, go ahead.
Evan Smith: Thank you. Good morning and welcome to Sharecare’s second quarter fiscal 2020 earnings conference call and webcast. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Leading today's call are Mr. Jeff Arnold, Chairman and CEO; and Mr. Justin Ferrero, President and Chief Financial Officer. Today's call is being recorded and an archive of the recording will be available later today on the Investor Relations section of our website. Before we begin, we would like to remind you that certain statements made during this call will be forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, which includes statements regarding potential strategic reviews and our guidance. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that will occur after this call. Descriptions of some of the factors that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC, including the Risk Factors section of our Form 10-K for the year ended December 31, 2021. In addition, please note that the company will be discussing certain non-GAAP financial measures that we believe are important in evaluating performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliation of historical non-GAAP financial measures can be found in a press release that is posted on the company's website. I would now like to hand the conference call to Mr. Jeff Arnold. Jeff, please go ahead.
Jeff Arnold: Thank you, Evan. And thank you all for joining us this morning. Our second quarter results reflect the continued execution of our strategy, with growth across three channels. We delivered revenue and adjusted EBITDA above our guidance ranges, which reflects strong recurring revenue, as well as benefiting from upselling and cross-selling within and across channels. We are continuing to see both RFP and pipeline build sequentially, as well as year-over-year, supporting our continued growth in 2023 and into 2024. Our expanded sales team is delivering higher productivity, driving new direct opportunities, while also seeing growth from both our channel partners and brokers. I will also reiterate from our last call, we continue to have strong client retention and have limited client concentration and have a highly diversified business across all three channels. Additionally, we announced today that we've signed a memorandum of understanding for a multi-year strategic partnership with Carelon, the healthcare service subsidiary of Element Health. To integrate Sharecare Plus’s capabilities into Carelon’s Health Guide services that currently support hundreds of thousands of members, which will help drive additional and significant scale of our solution. While our 2023 is shaping up to be a strong year, the second half of 2022 is experiencing softness due to the timing of the start date of the Carelon partnership, which was originally planned to start in the third quarter. Justin will provide more detail about this in a moment. While we strongly believe in the long-term strategy for our business and the underlying value of the combined solutions across our three channels for our customers and consumers, we have initiated a strategic review of alternatives that have been presented to us from our non-enterprise segments. The Board and management believe that this review, coupled with an ongoing focus on accelerating our strategy and cost initiatives will create enhanced value for all stakeholders, including our customers, consumers, employees and investors. Now, let me move on to the second quarter performance. In the second quarter, we delivered revenue of $103.8 million, 5% ahead of the prior year and positive adjusted EBITDA of $2.1 million, while continuing to invest in sales and marketing to support accelerated growth into 2023. With $211 million in cash on our balance sheet to support growth, no debt and positive trends across all three channels, we remain in a strong position to execute on both our organic and inorganic growth objectives. In enterprise, we are seeing continued momentum, both in the size and number of new pipeline opportunities from 2023 and continued strength in RFP activity. Our digital-first approach offerings, seamless and data-driven experiences resonating with existing and potential new customers. Customers are increasingly looking for a platform solution that can drive consumer activation, engagement and satisfaction by simplifying the patient journey to not only identify gaps in care, but also to deliver the comprehensive solutions to address GAAP closures, including improved wellness and preventative screenings, disease management with access to digital therapeutics, as well as integrated access to virtual primary care and tech-enabled home care. In addition, as our customers continue to look for ways to address the rising cost of health care, while increasing their commitment to their members our employees, our digital-first platform can help them lower their cost of administration, while enhancing the experience and outcomes for their respective populations. We have over 11 million eligible lives on the platform, with additional growth expected as we launched Sharecare+ later this year. In addition, with our multiyear strategic partnership with Carillon, we will be able to add to the scale and revenue already in place for Sharecare+ for 2023 to our current contracts and robust pipeline. We continue to see positive trends from our home health business CareLinx, which is delivering strong performance ahead of our initial expectations by expanding within its customer base, as well as further diversifying its business with new payer wins and the expansion into the employer market. Let me give you a quick example of the benefit CareLinx delivers. Working with an ACO of a leading hospital system, CareLinx rolled out a transitional care program, focused on patients discharged from a hospital or SNF within seven days. The program provided in-home support, including managing the first visit and an average of four in-home visits for assistance with daily activities and ADLs, as well as transportation to and from medical visits. It delivered a 19% reduction in readmissions for this transitional care program after two years. The data is very impressive and highlights the success of our program to reduce avoidable and costly readmissions. In summary, because of our new wins, strategic partnerships and continued innovation, we remain confident for increased momentum in enterprise in fiscal 2023. In Provider, we continue to see strong growth in our record retrieval business, with June being a record month, driven by increased penetration of existing clients, the addition of new client sites, as well as continued strength in audit volumes for risk adjustment and HEDIS as we expand our presence with payers. Adding hundreds of new sites in the quarter, we remain on track to achieve our 6 million medical records retrieved target for the year. We also continue to build momentum in our record retrieval pipeline with positive underlying growth trends, including a solid increase in the average deal size and a more than 20% sequential increase in the number of opportunities. As we expand our direct and partner-driven marketing activities and across an increased number of use cases, we discussed last quarter, underlying demand for the business remains strong. To further strengthen the business, and as I mentioned earlier in my remarks, we continue to implement cost initiatives to improve margins. In Life Sciences, we continue to grow with our top 20 pharma clients and brands as well as sign new opportunities for our digital patient engagement solutions for leading pharmaceutical brands. We continue to build new pipeline opportunities and maintain solid client retention. We now anticipate lower growth in the second half of the year. A significant slowdown in pharma DTC marketing spend has created a headwind for our growth rate, which is being driven by individual brand dynamics, including patent expiration and launch timing, as well as macroeconomic factors.  That said, we remain confident that the strength of our content, first person data and our personalized omnichannel approach continues to drive program execution and competitive advantage. We have had several strategic decisions in fiscal 2022 to streamline and advance new solutions like Sharecare Plus and believe these decisions have strengthened our platform and deepened our relationship, strategic partners which will enable us to drive more sustainable profitable growth as we move into 2023 and forward. In 2022, we have already seen the benefits of our efforts with increased momentum in our pipeline at 4 to 5x where it was in the prior year with new commitments in place for 2023. Our focus remains on selling larger engagements, creating more opportunities for cross-selling and continuing to invest to deliver more value and product innovation to support our clients. Now let me turn the call over to Justin, who will review our financial results for the quarter and the fiscal year and share our financial outlook and assumptions for the remainder of fiscal 2022.
Justin Ferrero: Thanks Jeff, and thanks to everyone on the call for your interest in Sharecare. As Jeff indicated we delivered strong results for the second quarter of 2022 for both revenue and adjusted EBITDA. We I'll walk you through the second quarter results and then discuss our revised outlook and specific cost actions we are taking to enhance our performance.  Our second quarter revenue grew 5% to $103.8 million from $98.5 million a year ago, exceeding our guidance. Growth in the quarter was positively impacted by year-over-year increases in eligible lives on the platform and an increased number of records retrieved. Year-over-year growth was impacted by our previously disclosed decision to sunset certain businesses, which resulted in a revenue reduction of approximately $11 million over the prior year period. Adjusted EBITDA for the quarter was $2.1 million from $6.6 million for the prior year exceeding our guidance. Adjusted EBITDA was driven by incremental public company expenses and increased investments in salesforce expansion to support growth. We expect these investments to support our long-term growth as we gained greater traction for the Sharecare digital platform, expand our record retrieval business and execute in our life sciences channel with existing and new customers.  We remain in a strong financial position, ending the quarter with $211 million in cash on our balance sheet and continue to progress towards becoming cash flow breakeven by year-end. As Jeff mentioned, while we continue to have a significant build in our pipeline and RFP activity for 2023 starts, macroeconomic conditions impacting our life sciences channel as well as the timing of a large contract start date with Carelon, a subsidiary of Elements Health have impacted our outlook for the second half of the year. Due to the uncertainty in timing, we are withdrawing our previously issued guidance and will no longer be providing financial guidance for fiscal 2022. While these factors make it difficult to provide guidance in the interim, let me provide some color. With respect to the large payer advocacy contract, we're in the process of finalizing the implementation timeline of the Carelon agreement. Our focus is on a long-term partnership, which has taken additional time to bring to completion. In our Life Sciences channel, while our underlying business continues to perform, a significant slowdown year-over-year and DTC spending by the pharma industry has caused greater uncertainty in our forecast for the remainder of the year. Note, a recent IQVIA study indicated DTC spending by top pharmaceutical companies, was down about 32% from the first half of 2021, compared to the first half of 2022. As such, with 35% of our channel revenue historically being generated in the fourth quarter, we remain cautious on the level of campaign extensions for the remainder of the year. And in the provider segment, while year-to-date, we have continued to see strong performance in our record retrieval business, we are currently seeing the slower rollout of certain payment integrity contracts. With respect to cost initiatives, these include the streamlining of corporate functions, a reduction in our real estate footprint, optimization of our provider record retrieval business through automating and off-shoring certain functions, as well as other initiatives to improve our operations and drive performance as we move into 2023. In closing, we believe the momentum and opportunities for 2023 supported by a strong balance sheet will enable us to drive new opportunities for growth, with existing and new customers, while enhancing our long-term financial performance. With that, we will move to Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Craig Hettenbach with Morgan Stanley. Please go ahead.
Craig Hettenbach: Yes. Thank you. Outside of the timing issue with Carelon, can you just talk about enterprise more broadly given some of the macro headwinds, what you're seeing from a sales cycle perspective and any sensitivity to price on the enterprise side?
Jeff Arnold: I think, we feel good about the pipeline that we're building. And I think the sales cycles don't feel like they're changing. I mean, it's still a long sales cycle. But our pipeline is robust. Our RFPs are way ahead of last year. This Carelon partnership is a massive one for us, and we're kind of still staying within that range based on client size of – on the PMPM. We haven't seen a lot of headwinds there yet. We've kind of set price and we've been kind of holding to it. But yeah, no, we feel good about the enterprise business. We think -- if you think about how we're selling, we've got our current sales force, which continues to grow. We've got the national accounts team at Anthem that's opening up opportunities for us. We've now added Carelon, so their book of business and hopefully, the ability to grow that. And sales cycle remains the same, and we haven't felt the price pressure.
Craig Hettenbach: Got it. And if I could just follow-up relative to some of the other headwinds you're seeing, you know, Carelon looks to be kind of a bright spot here. Can you just talk a little bit more in terms of since you've purchased that business, just some of the momentum you're seeing and how you're thinking about that business as you head into next year?
Jeff Arnold: Yes. So it will exceed our revenue expectations for the year. We have secured more business from our largest payer client for next year -- within that business. And we've won our first Blues plan for next year for that business. And our sales force is now trained on it. And so it used to just be the Carelon team that brought their historical business. But our salespeople are actively out selling that right now. And then in addition to that, we're adding new capabilities. So trying to kind of go more up to clinical ladder and I mentioned a little bit about that on the work that we did with one particular ACO, a minute ago in the script. So happy clients, growing clients, bigger sales force, and new capabilities.
Craig Hettenbach: Great. Thank you.
Jeff Arnold: Thank you.
Operator: The next question comes from David Larsen with BTIG. Please go ahead.
David Larsen: Hi. With respect to the Enterprise division and the, sort of, previously expected onboarding of lives in the back half of 2022, is Elevance and Carelon, is got to delay sort of the only change relative to your previous thinking, or were there also other clients that you were going to onboard that have also delayed, or is there an elongation sort of across the board? Thanks.
Jeff Arnold: David. No, we signed this MOU several months ago with Carelon and have just been working through the transitional services. It's hundreds of people that are involved with this. It will be our largest contract ever and it's the date has slipped. So -- and so we're confident it will hit this year, it will be full year next year, but it's a large contract that's moved on us. But the other implementations are happening on schedule.
David Larsen: Okay. So it's only the Carelon-Elevance contract that has pushed, it's probably going to deploy in the back half of 2022, certainly in 2023. And quite frankly, it's so big and so large and so important. That's what's leading to the delay. It's not like there's a cancellation of the contract.
Jeff Arnold: No. It's only -- the contract negotiation -- contract is only longer now than it was in the beginning. It's just a lot of work. Like they've got hundreds of health guides that we'll be transitioning into our partnership. And there's a lot of detail in the implementation work. And -- but all the conversations are -- all the work is being done around that transitional services and implementation work.
David Larsen: And when I listened to Elevance earnings call this quarter, they talked a lot about their digital health strategy. They talked a lot about value-based care. And it sounds to me like Sharecare is a key integral part of that. And if anything, it's such a large deployment that's maybe what's leading to some delay here. It's not headwinds or a potential recession that at least facing is simply the size of the implementation.
Justin Ferrero: Yes. The – hi, David, thanks for the question. This is Justin. We don't see this as a systemic issue. This is a timing issue around this relationship. And there's uncertainty as to exactly when that will come in. But we are highly confident that, that will -- that relationship will come to fruition this year.
David Larsen: Okay. That's great. Thank you. And then the PMPM range had been like in the $2 range. But I think with the advocacy solution in the Sharecare Plus solution, it's in like the $6-plus range. Is that what we're talking about with this kind of deal? And can you just remind me what are the incremental services that you provide in Sharecare Plus relative to like the legacy solution?
Justin Ferrero: Yes. So that's correct on the pricing. And then if you think about our platform, think of it as wellness. Think about it as digital therapeutics and now think about it as navigation and care management. So adding the navigation of the care management what's driving up the $2 PMPM. And then we're maintaining the upsell opportunity of CareLinx.
David Larsen: Okay. Great. Thanks very much. Appreciate it. I'll hop back in the queue.
Justin Ferrero: Thanks, David.
Operator: Our next question comes from Eric Percher with Nephron Research. Please go ahead.
Eric Percher: Thank you. I wanted to focus on the strategic alternatives for provider and consumer. And I think you made a comment around alternatives presented to you. Are those alternatives presented by the businesses or presented by outside parties. And any thoughts about what strategic alternatives may be attractive to you?
A – Jeff Arnold: Yes. That's a great question. So since last year, since we went public, we've been really trying to focus on how to simplify the story. So we stopped doing some COVID work, some PCMH work, and we've continued to look at all our assets and think that we're undervalued. And so how do you unlock that value? And -- and we know enterprise is the core business, right? That's the business we've mentioned in the past that we need to win at. And we think some of the partnerships that we created is a great step in that direction. And we also are believers on how the three segments fit together. So when you think about medical records, the reason we're in that business is so I could provide my enterprise clients with access to their medical records. There could be – ther could be an opportunity that we could sell that division and still maintain data rights as an example. And it's growing fast, it's profitable, and we've had conversations with groups about that asset. And similar on the Life Science side, what's really important to us with the Life Science business is access to the content. It's the same way we need access to the data with medical records, we need access to the content through life sciences. And we've had -- so we've been exploring conversations with third parties, are there ways that maybe we could unlock those assets, maintain those rights and then reinvest those dollars into our core enterprise business.
Eric Percher: That's interesting. And I know you haven't provided the EBITDA contribution for those businesses in the past. I'll ask you, if you'd be willing to, and if not, could you at least provide some commentary on, are these major contributors to the acceleration you're expecting for 2023, or is there any impact on cash flow profitability if you were to, say Life Science businesses?
Justin Ferrero: Well, yes, we don't break it out. So Eric, thank you for the questions, its Justin. The -- all of these units are profitable. So on a stand-alone basis, they are profitable. The growth we've talked about historically has been strong on the life sciences, but we're having headwinds this year. So it wouldn't be one of the divisions that we'd say would be the core driver for next year. Our growth is very strong on the Charter business. It remains strong. And so -- but we'd have to weigh whether or not selling an asset like that and reinvesting in the enterprise business, its ultimately better to drive shareholder value. But the core asset is around our enterprise business. And as you saw, we didn't include that as part of one of the areas that we're looking at a strategic review. So in short, is both of them are profitable. Both of them performed well. There's, been headwinds on Life Sciences, this year as we talked about. And the largest growth driver to our business is the Enterprise Business, and that's not the one that we have taken inbound interest on.
Eric Percher: Got it. Thank you for all the detail.
Justin Ferrero: Sure.
Operator: Our next question comes from Richard Close with Canaccord Genuity. Please go ahead.
Richard Close: Yeah. Thanks for the question. Just to dive deeper on the Life Sciences side of things. So Justin I'm just curious, have you seen cancellations there? Just talk about what's going on here in 2022? What's changed from the first quarter? And then you guys seem pretty positive on the opportunity in Life Sciences in 2023. But I guess, my question is, how strong is that confidence?
Justin Ferrero: Yeah. So the answer is, we typically never have cancellations, and we have had some this year. It's not significant. I'll say that -- and I said it in the script, that the campaigns continue to perform. That's where we really excel and driving ROI for the customer, but there is headwinds. And with that IQVIA say, it is DTC farmer spending is down 30%. And with so much of our business gets booked in the second half, 35% of our full year is in Q4. There's, headwinds there. And so to bracket what those headwinds can be has been a bit challenging. So hopefully, that answers your question. Yes, there's, been cancellations. They're not major, but they are -- it's unusual, because that does not happen historically. All that said, the campaigns are performing, but it's just a big unknown of how much buy up we're going to have in the back half of the year. And it is a significant portion of the revenue.
Richard Close: Okay. And then, the confidence with respect to 2023 in that, I mean, you talked pretty favorably on sort of the pipeline for that.
Justin Ferrero: I think that -- so we have strong conviction in our team that runs that asset. And then we have also been bringing new products to them. So, it's -- we remain strong as long as -- let me put it this way, there's 30% decline in the industry. We aren't seeing that and that's in part because the strength of our team. And so we believe that we'll fight through this and that this asset will be a revenue grower for us in 2023. We're going to do a business update in Q4 as we talked about in the press release, and we can give more clarity. But we're big believers in that team and the assets that we've built. And we're not taking the same pain that a lot of others are because of that. But I think it's a little too early to give that guidance, but we will give a business update in Q4.
Jeff Arnold: And Justin, maybe just to add one thing to that. The brands are staying with us. They're just pulling back some of the dollars, that’s less about the cancellations and it's more about the amount of spend.
Richard Close: Okay, that's helpful. And then just maybe on the enterprise side, the common seem pretty positive. With that being said, have you seen any degradation at all or purchasing decisions being elongated or anything along that side on the enterprise?
Jeff Arnold: Well, what we've seen is we've made a pretty big pivot into Sharecare Plus. I mean we didn't have Sharecare Plus when we went public. So, if you recall, we got Anthem to invest, we took the money and we built Sharecare PLus, which was adding the navigation, care management to the platform. We got some -- even with just the demos, we're able to get some significant contract win. We're able to cut the different relationships that we cut with Anthem, like the National Accounts team. And then the one time that we were finding -- and because accounts were familiar with Sharecare, and knew it was kind of always was sort of an advocate -- the digital first advocate, we just needed a couple more capabilities to complete the solution set. If anything, they want just to see who else are you doing this with. And so that's why we have focused so hard on the careline piece is that we wanted to show that that we could do more business with Elements is we -- that's one thing that we have heard from investors like Anthem, Elements, we'll do more business with you. Go beyond AKI and other things and being able to partner with them now to kind of unlock hundreds of thousands of their members that they're using for -- that they're servicing for advocacy and put that on to Sharecare Plus gives us a reference account. And so if anything, what we've just seen in our sales finalist meetings is it's a new offering that Sharecare hasn't offered before. And so getting them comfortable that we can execute these new capabilities has been where a lot of the dialogues going. But just because we have so many more channels of ways to get the clients just -- we don't feel the softness because we're up so much year-over-year because we were coming from a smaller base. And now I think it's just a matter of getting the deployments, getting the references and continuing to win new business.
Richard Close: Okay. Can I slip one final one in.
A – Jeff Arnold: Sure.
Richard Close: Yes. So on suspending the guidance, so it sounds as though you've had some weakness, potential headwinds on the Life Sciences enterprise, you have this delay a little bit. And then provider seems like it's going okay, but you have some lower audit -- why the decision to suspend all your guidance rather than just make some sort of cost to it
A – Justin Ferrero: Well, so I can start. We can do this together, but it's the breadth of the moving pieces to -- there's brackets around timing of the CareLinx there's brackets around 35%, sometimes 37% of our business in Life Sciences in Q4 alone. We have inbound interest on the strategic review -- and if it was -- you really just one variable around that, I think we would have. But in order to -- and each of those impact not only revenue but EBITDA that bracketing all of those together would have created straight a wide bracket that we don't think it would be helpful to you and in modeling. So that's why we suspended and said that we will give an updated business update when we know that timing comes in. I mean it's just -- just the timing of the CareLinx piece alone it could be tens of millions of dollars. So it's -- that's why it wouldn't have been helpful because we either have to go or low to a much, much higher number and it would have been helpful.
Richard Close: Yes. Okay.
A – Justin Ferrero: Just on one clarification. We're -- our audit business is going really well on provider. I don't know if I heard that was down
Richard Close: Okay. That was the payer
A – Jeff Arnold: Yes, it's not the -- I think what you're referring to, Richard, was the PI. The audit business is doing great. I think at just kind of reiterate what Justin said. It's like we're sitting here now where we've got really strong visibility on 2023. And we've built the product, we've got the go-to-market we're going to have pretty significant scale. I mean, if you think this is going to be hundreds of thousands of Sharecare Plus members in the first year of launch? And as we're sitting here right now in this moment of kind of the back half of 2022, we're saying, do I peg that start date, or do I continue to thoughtfully work through the transition plan. Do I know what's going to happen in our Life Science business, our leader there has never missed. And so she's really very good at this. And she's just saying like there's just -- the brands are still there. They're just -- they're pulling back the spend. And I'm not positive what that looks like. And then we're looking at the strategic alternatives that we think are interesting for the reasons we articulated and aren't going to take -- by the end of the year, I think we'll have a path to go or no go if we're going to pursue that or not. And then we've got some other cost optimization things that we're doing with automation and outsourcing there that is a moving data as well. And so we said, do we give that big range, like Justin said or do we give you give strong conviction for 2023 based on what we just talked about and then have an Analyst Day in Q4 where we can demo the products and go into more detail for next year. That's the thinking.
Richard Close: Yes. No, thanks. That's very helpful.
A – Jeff Arnold: Good
Operator: Your next question comes from Cindy Motz from Goldman Sachs. Please go ahead.
Cindy Motz: Thanks a lot. Thanks for taking my question. I know that you don't usually give the segment breakout for EBITDA, but you usually do comment on the revenue. So I'm just curious, like maybe we'll see it in the Q as well, but it looks like the enterprise revenue x CareLinx, maybe CareLink is about $8 million, a little over $50 million. And then maybe the medical records is about $27 million, consumer if it was flat with last year, it would be about $18.6 million. Am I correct there in the ballpark?
Justin Ferrero: Yes, you're in the ballpark. The enterprise business is in the $60 million range…
Cindy Motz: That for CareLinx?
Justin Ferrero: …all in with CareLinx. Yes. And then the provider business is between $26 million and $27 million and then life sciences between $17 million and $18 million.
Cindy Motz: Okay. Great. And then just in terms of the, I guess, the EBITDA, like so to get to the $2.1 million, obviously, we have the non-recurring cash stuff some of the, I guess, renegotiations, the severance about $8.6 million. You had said last quarter too, that you expect that to slow down, right, or start to stop in third quarter and fourth quarter. I mean that's the way you'd get to, I guess, cash flow breakeven, correct? You still expect that towards the end of the year?
Justin Ferrero: Yes. Yes. So we are still focused on cash flow breakeven. Of that $7 million or so, really half of it is around severance and cost cutting, as part of our plan, our go-forward plan around cost optimization. I think that this line item will continue to remain elevated. And then we'll see it start to come down in 2023?
Cindy Motz: Okay. So just so I'm clear, though. So the non-recurring costs, there's still cash cost though. So they're still going to happen like third quarter, I kind of expect it. But then in fourth quarter as well, we're going to see some of that, did you think…?
Justin Ferrero: Yes, you’re still -- yes, yes, I think you'll still see some of that as we -- we're taking a hard look at all aspects. And so things like the optimization of our record retrieval business, a lot of that might not hit until the fourth quarter. And so that's why you'd see elevated there as well.
Cindy Motz: Sure. But..
Justin Ferrero: But again, we're focused on it. So I think it will remain similar to where we are today. But as we go out to 2023, and we implement these operational efficiency plans kind of through the base of this year, you could model it that will start to come down.
Cindy Motz: Okay. And just on the strategic initiatives. So if you're looking at provider and consumer, it sounds like you're not looking at like maybe an outright sale because you want to keep rights to the data and the content. So it's more like a licensing sort of arrangement or partnership that you might be looking at. Is that right or…?
Jeff Arnold: No. I think there's a lot of different ways it could go, but you could sell that business and partner with the buyer to have access to the data.
Cindy Motz: Okay.
Jeff Arnold: Yes.
Cindy Motz: And if I could just get one more in. On the share buyback, have you made -- can you give us just a comment about what you've bought back? If you bought back any or how that's going?
Jeff Arnold: We haven't bought back any yet. It's all in place to be executed on, but we haven't acted on it yet.
Cindy Motz: Okay. Thanks a lot.
Jeff Arnold: Yes.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jeff Arnold for any closing remarks.
Jeff Arnold: Great. Well, thank you for everybody's time today. I'd like to reiterate what we've discussed, a strong Q2. There are big initiatives underway that can provide positive impact to our enterprise business, anchored by some of the large partnerships that we've been working on with a particular client, but also across our entire book of business. And so, feel good about that. The product is looking amazing. We're going to do an Analyst Day to show it to everyone. You're going to see the commitment from our partners behind it, and 2023 is going to be a great year. I think the strategic review is very timely. This idea of like, is our business too complicated for investors and the belief that there's a lot of value in our assets, that need to be unlocked. But as I mentioned to Cindy, is we also believe this is very much on strategy. And so, as we look to potentially make moves in that area or evaluate making moves in that area, maintaining data rights and content rights and some business relationship is important to us, because we think that really differentiates our offering, the strength of our data, the strength of our content. And I can't underscore how well provider is doing. And we hired a new COO last year, who's joined us, who has incredible expertise in automation and outsourcing, and have put together a really solid plan that we have begun to implement that should drive tremendous EBITDA next year for Sharecare, and we'll start to see some of that even in Q4 of this year. And we appreciate everybody's interest with Sharecare. And as always, if you have any questions or thoughts and you want to reach out, we're available any time. So, have a great day and thanks again.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.